Operator: Good morning, and welcome to the Hyatt First Quarter 2022 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions]. As a reminder, this conference call is being recorded. I would now like to turn the call over to Noah Hoppe, Senior Vice President, Investor Relations. Thank you. Please go ahead.
Noah Hoppe: Thank you, Julianne. Good morning, everyone, and thank you for joining us for Hyatt's first quarter 2022 earnings conference call. Joining me on today's call are Mark Hoplamazian, Hyatt's President and Chief Executive Officer; and Joan Bottarini, Hyatt's Chief Financial Officer. Before we get started, I'd like to remind everyone that our comments today will include forward-looking statements under federal securities laws. These statements are subject to numerous risks and uncertainties as described in our annual report on Form 10-K, quarterly reports on Form 10-Q and other SEC filings. These risks could cause our actual results to differ materially from those expressed in or implied by our comments. Forward-looking statements in the earnings release that we issued today, along with the comments on this call, are made only as of today and will not be updated as actual events unfold. In addition, you can find a reconciliation of non-GAAP financial measures referred to in today's remarks on our website at hyatt.com, under the Financial Reporting section of our Investor Relations link and in this morning's earnings release. An archive of this call will be available on our website for 90 days. And with that, I'll turn the call over to Mark.
Mark Hoplamazian: Thank you, Noah. Good morning, everyone, and thank you for joining us today. Before we begin, I want to acknowledge the ongoing war in Ukraine. The mining devastation with growing numbers of lives lost, families separated and millions of people displaced continues to cause us immense concern. Guided by our purpose of care, we have never wavered in our concern for our colleagues and guests impacted by the water and have from the start, focused on providing them holistic support. Even with very limited operations, Hyatt Regency Kyiv has provided supplies and food for Hyatt colleagues and their families who remain in Ukraine as well as some guests who are staying in the hotel. For members of the Hyatt family who have loved the country, we have expedited job transfers to other European properties and established a relief fund, providing basic necessities and relocations support. Beyond that, the global high family has come together to send supplies to the people of Ukraine and provide refugee accommodations across Europe. World of Hyatt members are also supporting the global Red Cross relief efforts via World of Hyatt Points, and we continue to work on expanding our humanitarian efforts across the Hyatt portfolio. As a global Hyatt family, we hope for a peaceful resolution as quickly as possible. This morning, we reported our first quarter 2022 earnings results, the strongest demonstration yet of how Hyatt is evolving as a fundamentally stronger and better position the company. While Omicron was a headwind for us in January, the variant spiked sharply and fell rapidly in most areas of the world. The RevPAR acceleration for all areas outside of Asia Pacific has been extraordinary with comparable RevPAR versus 2019 in our Americas and EMEA and Southwest Asia regions, improving from being down 33% in January to being down only 5% in March to be up almost 3% in April. The pace of recovery significantly exceeded our expectations and the progression in our results demonstrates that Hyatt is optimally positioned for several reasons: first, our portfolio is focused on the high-end traveler in each segment that we serve, and significantly weighted towards luxury and leisure, with 42% of the hotels in our portfolio classified as luxury, lifestyle or a resort. And nearly [60%] of our RevPAR in the first quarter was driven by leisure transient revenue. Our customer base and portfolio concentration allow us to realize a consistent rate premium in this environment. The strongest demonstration of that was March and April, where we achieved a system-wide average rate of $195 and $199, respectively, the 2 highest ADR months in Hyatt's history. Second, from a geographic standpoint and in part, as a result of our recent acquisition of ALG, we have significantly increased the concentration of our earnings from U.S.-based travelers. We estimate that on a stabilized basis, approximately 80% of our earnings are generated within the Americas. This area of the world continues to lead the recovery, which was evident in April, where we saw comparable RevPAR in the Americas, up 3% to 2019 and ALG net package RevPAR in the Americas was up 12% as compared to 2019; third, group business, which accounts for a sizable portion of our stabilized total revenue base has accelerated meaningfully through March and April. We anticipate this will be an area of outside strength for us as the recovery progresses in the coming months. Compared to 2019, group revenue [base] at our Americas managed hotels was down only 8% in April, while gross group revenue book for the same hotels was 20% higher in the first quarter, 37% higher in March alone and 42% higher in April for states that will take place this year. Our conversations with corporate and association customers reveal an intense focus on in-person interaction and connection as organizations prioritize nurturing their corporate culture, the coming months and years ahead. Fourth, we have a strong positive operating leverage in our business through owner REIT hotels and a higher exposure to incentive fees, including importantly, our ALG platform. This positive leverage was on full display in the month of March, where we generated an adjusted EBITDA of $102 million, plus net deferrals of $10 million and net finance contracts of $2 million or nearly 60% of that total for the quarter. The performance in March, coupled with a further strengthening of RevPAR in April and a strong booking pace for May and beyond provides us with confidence and our performance in the second quarter will significantly strengthen from the first quarter with higher rates and higher volumes of business in all regions other than Asia Pacific. Fifth, we expect our net rooms growth, which has led the industry for 5 consecutive years to significantly expand fee revenue as recent openings ramp up to more stabilized performance. 14% of our legacy Hyatt fees in Q1 are from hotels that have opened since the beginning of 2019. Our net rooms growth in the first quarter was 18.6% or 5.2% when excluding ALG, and we maintained a strong pipeline of 113,000 rooms or approximately 40% of our current base, ensuring the capacity to drive strong incremental fee revenue from net rooms growth well into the future. And lastly, the real estate transaction market remains very strong as we continue to transition to a predominantly fee-based company. I'm pleased to announce that in April, we closed on the sale of 3 assets and have signed an agreement for the sale of a fourth asset with a scheduled closing in the second quarter. Combined, these 4 hotels will generate gross proceeds of $812 million or over 40% of our $2 billion disposition target, marking significant progress on our fee-based earnings evolution. These dispositions reflect an aggregate multiple of 15.7x 2019 EBITDA and again, highlighting our consistent track record of selling assets at attractive multiples in excess of what is implied by our valuation. In summary, we have reached a new phase in this recovery, where actualized performance and future bookings clearly validate our own confidence in the future. Hyatt is uniquely positioned to benefit from current trends given the composition of our portfolio and the operating leverage within our business. Further, as we continue to execute on our disposition program, we look forward to unlocking value in multiple dimensions as we progress towards a more agile, stronger fee-based enterprise. Diving a little bit deeper into our latest trends, I want to first discuss ALG as it was an important driver of outperformance for the quarter, and Joan will review the specific financial results. ALG’s highly integrated platform continues to benefit from the outsized demand for leisure and beach destinations. The performance this quarter was record breaking with the 2 main lines of business, the first being AMR and AMR's membership club, UVC and the second being ALG Vacations, both performing exceptionally well. This performance is the result of very strong underlying demand and the impact of transformative changes that the management team has implemented over the past few years. As we assess the performance of ALG, it's notable over the trailing 12 months that economic performance as measured by adjusted EBITDA, plus the increase in net deferrals and net finance contracts implies an approximate 10x multiple on our $2.7 billion acquisition price. These financial results illustrate the power of the platform and the attractive valuation at which we acquired it. Based on recent trends, we're confident that we will exceed our previous expectations of a low double-digit multiple by 2023, both in terms of timing and magnitude. It's also worth highlighting that the strong base of activity is occurring before any material benefits from integration efforts that have taken effect. But that is changing as we speak. Just yesterday, we announced that all AMResorts in the Americas are bookable through Hyatt's channels and World of Hyatt members can earn and redeem points at more than 50 AMR properties. The AMResorts in Europe will join the program later this year. These initiatives will deepen guest loyalty and reduce distribution costs. In addition, we have launched the inclusive Collection, a designation for our global portfolio of distinctive all-inclusive resort brands. Lastly, we are excited to announce that UVC members have been granted World of Hyatt status. This adds compelling value for existing UVC members and enhances the value proposition for prospective UVC members. In summary, ALG is trending significantly ahead of our expectations in every measurable dimension. We're making quick and meaningful integration progress and foresee reaching our 2023 earnings target significantly ahead of schedule. Turning to the latest business trends in our legacy Hyatt business, I'm very encouraged by the pace of recovery. After a slow start to the quarter, demand rebounded sharply in most areas of the world. While system-wide RevPAR was 25% below 2019 levels for the quarter, results varied significantly by month with RevPAR and March down only 15%. And as we look to the second quarter, system-wide RevPAR in April was down only 9%. The strengthening of rates has played a critical role in the RevPAR recovery, improving from down 5% compared to 2019 levels in January to up 10% in April. From a geographic perspective, it's notable how quickly RevPAR has recovered in many parts of the world. RevPAR in April was up 3% and 1% to 2019 levels in the Americas and in even Southwest Asia regions, respectively. Meanwhile, Asia Pacific experienced a worsening trend over the course of the first quarter due to travel restrictions in Greater China with RevPAR remaining at depressed levels in April. Outside of Greater China, countries in Asia Pacific have partially or completely reopened borders and we see improvement as restriction fees and airline capacity ramps up with RevPAR improving 15% from March to April. We remain optimistic that a rapid recovery will emerge in the region as it has in so many other parts of the world, although the timing remains unpredictable. From a segmentation perspective, we again experienced a strong level of leisure transient revenue during the quarter, up 4% to 2019 on a comparable system-wide basis and up 12% to 2019 in March. This trend has strengthened further in April with leisure transient revenue up 19% over 2019 levels. We continue to see improvement in urban locations and are benefiting from a longer length of stay, specifically with extended weekends, driving higher demand on Thursday and Sunday nights. We anticipate this trend of extended weekends to continue as consumer behaviors shift post pandemic to the adoption of blended leisure and work travel. While leisure transient continues to outperform, group is where we saw the most pronounced recovery during the quarter. System wide group rooms revenue was down 43% to 2019 in the fourth quarter of 2021, and improved to being down 25% to 2019 in March and down only 14% to 2019 in April. The speed at which group return was significantly ahead of our expectations. We've heard repeatedly from meeting planners how impactful it is the reconnecting person for association and corporate customers alike, a sentiment that is evident in our group booking momentum. Large group bookings driven by corporations with strong food and beverage spend are contributing significantly to our recovery. Group rooms revenue in our comparable Americas full service managed properties was down only 8% to 2019 levels in April and group pace for the remainder of the year from May through December is down only 12% to 2019, with tentative group bookings up 60% to 2019. The continued strength in short-term bookings, the vast majority of which are corporate, gives us full conviction that group will continue to narrow the gap to 2019 levels over the course of this year. As for business transient, we've seen positive momentum as more people return to the office with system-wide business transient at 53% of 2019 levels in April, with the Americas region reaching 59% of 2019 levels during the same period. Large national corporate accounts have improved from 36% recovered in February to 54% recovery in April. And from a future bookings perspective, business transient bookings were approximately 65% of 2019 levels in April for the Americas. Consulting companies and industries with a heavy focus on sales of products and services are leading the recovery with some of those firms now running in excess of 2019 travel levels, and demand continues to broaden across industries with each passing week. We remain optimistic about the recovery of business transient and its continued momentum over the back half of the year as people return to the office, travel restrictions are eased and more cross-border travel resumes. Finally, I want to provide additional details on real estate transactions before turning it over to Joan. As I mentioned, we've had a very active start to the year. In April, we closed on 3 transactions, the Hyatt Regency Indian Wells Resort & Spa in Palm Springs, California; The Driskill in Austin, Texas and the Grand Hyatt San Antonio Riverwalk in Texas. In addition, we anticipate closing on the fourth property, The Confidante in Miami Beach later this quarter. In total, these 4 properties represent $812 million in gross proceeds at an implied multiple of 15.7x 2019 EBITDA. The sale of the Grand Hyatt San Antonio is particularly impactful to the implied EBITDA average, as this 1,000-room hotel is attached to the convention center and encumbered with a complicated ground lease and debt structure. We sold our interest in this hotel at an implied multiple of 11.9x 2019 EBITDA. The valuation represented a significant premium to our internal estimated value. When excluding Grand Hyatt San Antonio, the sale prices of the other 3 assets imply an aggregate multiple of 19.7x 2019 EBITDA. It's also notable that the buyers of Hyatt Regency Indian Wells, The Driskill and The Confidante are all standing transformative renovations in the near term with an aggregate investment of over $145 million. This follows a similar pattern to our sales last year of Hyatt Regency Lake Tahoe and Hyatt Regency Lost Pines. Not only are we selling at strong multiples with long term management agreements, but we are also selling to strategic buyers who believe deeply in our brands, are investing significant amounts to upgrade and reposition these great hotels and with whom we expect to grow in the future. These additional planned investments in our properties will enhance the guest experience, be supported by Hyatt’s uniquely strong customer base and yield strong management fee streams over the decades to come. We're extremely happy with the progress we're making in fulfilling our $2 billion disposition commitment by the year-end of 2024. Upon closing of these transactions, we will have completed over 40% of our commitment, accelerating our transformation greater fee-based earnings. Overall, our strong results for the quarter, coupled with the execution of our asset sales and the strong booking momentum we see for Q2 and beyond, provide the foundation for continued optimism as we look toward the remainder of this year. I'll now turn it over to Joan to provide additional details on our operating results. Joan, over to you.
Joan Bottarini: Thanks, Mark, and good morning, everyone. My commentary today will cover consolidated financial results, key drivers of performance and expectations I can share for the remainder of 2022. This morning, we reported a first quarter net loss attributable to Hyatt of $73 million, and a loss per diluted share of $0.67. Adjusted EBITDA for the quarter was $169 million. Additionally, net deferral increased by $24 million and net finance contracts increased by $7 million. Almost 60% of adjusted EBITDA, net deferrals and net finance contracts was earned in the month of March. Adjusted EBITDA for Hyatt, excluding ALG, was $113 million for the quarter and improved rapidly from $11 million in January to $70 million in March, a reflection of the RevPAR acceleration Mark mentioned. System-wide March RevPAR, excluding Asia Pacific was down less than 5% in 2019. It's important to note, adjusted EBITDA in March was approximately 40% better than any previous months in the last 2 years, a testament to the accelerating trend of the quarter and the strength in overall recovery. As we look deeper into the strong results, the improvement in our lodging business was primarily driven by the strength in the Americas region, which contributed $85 million in adjusted EBITDA in the quarter, down only 9% to 2019. In addition, base, incentive and franchise fees accelerated in both the Americas and Southwest Asia region, improving collectively from January, where fees were approximately 20% below 2019 levels to March or fees returned to 2019 levels, reflecting the quickly improving RevPAR environment and impact from our industry-leading net rooms growth. Turning to our owned and leased portfolio. The segment generated $54 million in adjusted EBITDA for the quarter with $39 million earned in March. Comparable owned and leased margins were 26.9% for the quarter, down 50 basis points to 2019 levels for the same set of properties. While margins in March were 36.1%, up 150 basis points as compared to 2019. The majority of ultimate properties exceeded 2019 EBITDA in the month of March with RevPAR down only 7% to 2019 levels. Over the past several quarters, as the recovery has gained momentum, we have demonstrated the positive operating leverage and inherent value in our owned and leased portfolio through strong realization and excellent flow through. As we turn to the second quarter, the RevPAR recovery has strengthened further in April. Compared to 2019, system-wide RevPAR in April was down only 9%, with ADR growth of 10%. And our comparable owned and leased hotel RevPAR in April was up 1%, with ADR growth of [18%]. Looking into May and onwards, our booking momentum remains robust, driven by ADR strength, and this provides us with confidence that we will continue to experience a strong level of recovery. The exception and clear outlier is our Asia Pacific region. We've seen results improve outside of Greater China in April and remain confident in the long-term recovery of the entire region, although the timing is uncertain. Turning to ALG. The performance of the segment significantly exceeded our expectations. Adjusted EBITDA for the quarter was $56 million net, deferrals increased $24 million and net finance contracts increased $7 million. As a reminder, it's critical to assess as the performance due to sum of these 3 items, adjusted EBITDA, net deferrals and net finance contracts due to GAAP revenue and expense recognition requirements related to AMR's UVC business. We provided a table on Page 3 of the schedules in the earnings release for ease of reference on net deferrals and net finance contracts, as well as a supplemental presentation for ease of modeling ALG's contribution to Hyatt. I'll take a moment to cover 3 key areas that drove ALG financial results. First, net package RevPAR for the same set of hotels in the Americas was down 8% to 2019 during the quarter and up 1% to 2019 in March, reflecting strong improvement in demand as the impact from Omicron quickly dissipated by mid-February. Performance drove $30 million in total AMR management franchise and other fees. Second, new contracts signed for AMR's Unlimited Vacation Club. The primary driver of performance for other revenues, net deferrals and net finance contracts was 7,800 contracts in the quarter, exceeding 2019 by 8%. UVC contract signings continue to pace above 2019 with a strengthening average contract price exceeding 2019 by nearly 15%, driven by sales and memberships at higher tiers. UVC now has 121,000 active members, exceeding 2019 and by 33%. Third and most pronounced was the ALG Vacations business which realized very strong results driven by the combination of a surge in demand and the positive impact of an operational transformation over the past 2 years. Distribution and Destination Management revenue was $246 million in the quarter, a material increase from prior quarters, driven by favorable unit pricing, which was up 16% in 2019 and a heavier mix of business to more beach destinations. The favorable revenue mix, coupled with lower overhead through automation enhancements and less marketing spend, fueled a significant expansion of margins. As a result, the first quarter demonstrated the earnings power of a transformed ALG Vacations platform. We expect performance to remain strong over the remainder of the year, but would also note that the first quarter typically generates higher seasonal results to the ALG Vacations platform. In summary, ALG posted very strong financial results in the quarter, ahead of expectations despite the headwinds faced in January. And as we look ahead, our positive sentiment is reinforced by the strong leisure demand that has continued into the second quarter. Gross package revenue for all Americas resorts is pacing 37% ahead of 2019 for the second quarter. And we expect our significant expansion in Europe over the past 2 years to contribute meaningfully over the summer months. I'd also like to provide an update on our continued strong cash and liquidity position. As of March 31, our total liquidity includes $1.3 billion of cash, cash equivalents and short-term investments, up $118 million from the prior quarter, largely from an improvement in cash flow from operations. In addition to our cash position, we maintain approximately $1.5 billion in borrowing capacity on our revolver. At the end of the quarter, we reported approximately $3.8 billion of debt outstanding, excluding $164 million of secured debt related to the disposition of Grand Hyatt San Antonio. This secured debt was included in liabilities held for sale as of March 31 and was paid off in April upon the closing of the sale. While we have no maturities in the next 12 months, we will have an option beginning in the fourth quarter of 2022 to pay down a portion or all of the notes issued in the fourth quarter of 2021. We expect the net proceeds from the 4 dispositions Mark mentioned to allow us to pay down a significant portion of these notes. Furthermore, we anticipate resuming repurchases under our existing share repurchase authorization this quarter. Finally, I'd like to make a few additional comments regarding our 2022 outlook. Consistent with our estimates provided on our fourth quarter earnings call in February, we continue to expect adjusted SG&A to be in the approximate range of $460 million to $465 million, excluding any bad debt expense. As a reminder, we expect legacy Hyatt adjusted SG&A to be approximately $300 million to $305 million, which includes $25 million to $30 million of onetime integration expenses related to ALG. When excluding these onetime expenses, legacy Hyatt SG&A is expected to be approximately $275 million. We continue to expect ALG adjusted SG&A to be approximately $160 million. Turning to net rooms growth. We are reaffirming our expectation of rooms growth of approximately 6% for the full year. While we recognize that macro factors such as supply chain issues or COVID-related restrictions present a degree of uncertainty, given the activity we see in the marketplace, we remain confident that our guidance is well within reach and expect to deliver another strong year of net rooms growth. As for capital expenditures, we have revised our outlook to be approximately $210 million, down from $215 million we provided last quarter. The asset sales we commented on earlier are leading to lower capital needs and a reduction in our estimates. Legacy Hyatt capital expenditures are now expected to be approximately $185 million, and we continue to expect ALG capital expenditures of approximately $25 million. I will conclude my prepared remarks by saying that we are very pleased with our first quarter results. We believe we are uniquely positioned at this stage in the recovery given the positive operating leverage in our business and our mix of leisure, luxury and group business. ALG's results are significantly exceeding our underwriting and we continue to advance our long-term strategy through unlocking value in our real estate, while transitioning to a predominantly fee-based company. Thank you. And with that, I'll turn it back to Julianne for Q&A.
Operator: [Operator Instructions] Our first question comes from Shaun Kelley from Bank of America.
Shaun Kelley: Sort of a 2-part question. The first question would be Mark or Joan, can you give us a little bit more color on the seasonality around ALG? I think that definitely surprised everyone at how significant that was in the quarter? And maybe just think if I caught the number right, I think, Mark, you said $270 million of adjusted EBITDA in -- on a trailing basis? Or I think you said 10x on your acquisition price. Maybe just, again, help us think about how to kind of break that up across the year? And then secondarily and sort of unrelated, the follow-up would be just any thoughts around the guardrails on capital allocation, given the asset sales.
Joan Bottarini : Shaun, maybe I'll start with just the metrics. So I had laid out in my prepared remarks, some of the metrics that we experienced in the first quarter from ALG. And as a reminder, net package RevPAR is close to 2019 levels, which drove about $30 million in fees on the AMR business. And the UVC program also, we signed 7,800 new membership contracts in the quarter. So those 2 metrics actually led to solid results for that line of business within ALG. The outperformance really came from -- beyond our expectations came from the vacations business. We had significant upside there, as a significant portion of that came from the surge in booking activity. In light of Omicron in late Q4 and in early Q1, we saw the surge of demand come as early as February and really drove significant top line results. The demand itself was strong, but also the unit pricing was significant that we realized in the quarter. So while Q1 is a seasonally strong quarter for the vacations business because of the packages that are sold in the Caribbean are of a higher revenue mix and higher margin mix, it was significantly stronger because of the surge. Looking ahead, as we think about the next couple of quarters, the backdrop of demand that we're seeing would lead us to compare the results or lead us to allow you to think about the results in the context of last year as a benchmark because we also had some surge of demand in the second and third quarter of 2021, coming off of Delta at that time. So as we look at Q2 and Q3 of this year, we think we've got strong pacing going into the second and third quarter. But as you think about the seasonal nature, you can reference the historical information we gave for the quarters in our fourth quarter supplemental package for the ALG results to help you model out of future quarters.
Mark Hoplamazian: So maybe to round out to the extent what Joan just covered into the multiple calculation, we did lay out by quarter of last year what ALG produced. We know what we just reported, what it produced in the first quarter. So that's -- it's a relatively straightforward way to add across. And yes, it's in the range of $270 million for the trailing 12 months. And I would say, as I said in the prepared remarks, everything is pacing at a higher level and at a better flow-through across all dimensions of the business than we had underwritten. The -- our underwriting did not actually presume the pickup that we now expect to start to realize through the launch of the World of Hyatt integration, which we expect to do 2 things.  One, we're introducing our 30 million members to these resorts. For the first time, we'll have direct bookability through hyatt.com, and all our digital channels, but also earn and redeem opportunities to World of Hyatt. And second, for owners, the progression that we expect to be able to demonstrate to direct channel bookings, we believe will be very significant. And how do we know that? Well, if you look at our throughput for Hyatt Ziva and Hyatt Zilara, over 50% of all revenue is generated directly through the Hyatt channels into those hotels. And that would be starting at 0 currently with the AMR Hotels, which already deliver more than 50% through their direct channels. So we think that bringing what will end up being a cheaper delivered cost through the Hyatt channels will help to optimize all non-Hyatt, non-ALG channels and be able to really produce some great results for owners from a distribution cost perspective. And that we just started this yesterday. We went live yesterday. And by the way, I think that, that is a remarkable achievement having closed the deal only 6 months ago. Secondly, a reminder that ALG -- sorry, AMR Collection Hotels, we're currently on track to deliver double digit -- low double digit like 10-plus percent net rig growth this year, and we are on track to do that because all of those resorts are under construction. That excludes conversions, which we are working on currently. So we see the pace of opportunity going forward. So to wrap it up, I guess what I would tell you is we told you when we closed the deal that we expected to be able to demonstrate a low double-digit multiple by the end of '23. We've already done it. And we're not focusing any longer on how low double digit we go to. We're on our way with a single-digit multiple, effectively, if you measure it on future earnings. But really, most importantly, we're going to really focus on growth and maximizing the growth opportunity. We've got a plan that we have in place to accelerate growth in our existing markets. We have some other brand portfolio work that we're doing that we will announce soon. And we are looking at both conversions in existing markets, but also expansion into the Middle East and Asia, which we've already mapped out, and we won't get going on as we speak, actually, we've coordinated across Europe and the Middle East. That's where we -- where we're beginning to lean in. Asia will follow that. So I guess what I would say is stay tuned. We've got a much more efficient vacations platform than we did before. The mix has shifted significantly in the business that they're doing, away from lower-margin markets to much higher-margin business. The actual package revenue is up significantly. I think it's mid-teens increases over 2019 levels for net package values. So I guess what I would tell you is that there is nothing that we see anywhere that suggest that we have any issues other than upside. It's the question right now that we are addressing ourselves to and really focusing on is how high is high and what can we do to accelerate that activity? With respect to capital allocation, you asked about how do you balance all this with the cash that we're generating from asset sales, net positive cash flow from our business and the momentum that we see heading into the second quarter, especially into the summer, we have every expectation that we will be to pay down the debt that we need to by the end of this year to be back into all of the ratios that the rating agencies look at for a very solid investment grade level. And open up significant capacity for share repurchases, which is something that -- as Joan mentioned, we are resuming this quarter.
Operator: Our next question comes from Stephen Grambling from Goldman Sachs.
Stephen Grambling : Given the strength in forward bookings as well as what you saw in the quarter, and I recognize there's a lot of macro crosscurrents, but what would you need to see to reinstate EBITDA guidance? And as a related follow-up, could you help us triangulate a baseline for the core non-ALG EBITDA, given all the moving parts there with asset sales, Two Roads, integration costs, renovations of Miraval and more?
Mark Hoplamazian : I'll start on that, and Joan can of course, correct me as I go. As you pointed out, we've got a lot going on. We're selling assets. We will continue to report on the net impact of the asset sales as we go. I guess as a quick reference point for your information, you could derive this from the multiples that we gave you. We made something like $54 million for the year of 2019 and the 4 assets that we are selling, 3 of which are sold and the other one is slated for the second quarter. In terms of the first -- what the first quarter was for those 4 assets, it was about $21 million in both 2019 and 2022. So there are some quick reference points on the earnings impact from what we've already announced.  With respect to getting to a point where we can provide you with visibility into the future, we are still living through an upward inflection point in many different dimensions and we are learning as we go. And I think that what we have already seen relative to our expectations is that we're being surprised by the bigger and the pace of the return of bookings. So we're seeing booking activity. Joan mentioned there with respect to the vacations business, which I mean Omicron was a severe debt downturn for business transient, with a quick sharp V. It was much more extended for group, but the group is worrying back in March and April, as I described it and leisure didn't really get impacted too badly. We have vacations back on positive booking in January, actually. So we've seen those sorts of I guess you can continue to extension of pent-up demand. So if we keep seeing behaviors that are supporting better results than we would have otherwise expected, given how we started the year with Omicron. So we're still learning. And I think we'll have a much better handle on how we can get our hands around modeling this out, especially given our mix. Secondly, China is an issue. We're sort of operating at -- from a fee-based perspective maybe a third of the run rate where -- that we were prepandemic or where we would expect to be currently if we were to stabilize operations. We have confidence that they will sort through how they migrate from a Zero COVID policy to a more open policy, but we really have -- don't have a good handle on time. So that creates some volatility and noise as well. And then finally, I think we're still learning just how impactful some of the operational model changes that the management team at ALG put into place for vacations and for UVC and AMR. The platform is just more power from a profit delivery perspective and a flow-through perspective than it was 2 years ago. And some of that has to do with machine learning, the application of machine learning and using bots for -- and other AI for processing. Things like price changes that flow through the system and how packages are presented. Some of that has to do with a reduction in marketing spend, some has to do with the mix of business that they're doing. So what we are learning at this point is just to understand how powerful those things together taken together are in the delivery of profit on the total revenue basis, the volumes are quite high as we covered in the last call. So I would say that we'll be the dramatically better positioned by the fourth quarter to start to look back towards guidance. And that assumes that we see and have a more predictable future for how China is going to migrate from the Zero COVID policy to a more normalized environment.
Operator: Our next question comes from Patrick Scholes from Truist Securities.
Patrick Scholes : You talked quite a bit about encouraging revenues from the ALG segment. In the quarter you had very strong margins in the distribution and destination management component. I guess for modeling purposes, how should we think about those margins going forward? Are these sustainable seasonality, et cetera, with that?
Joan Bottarini : Yes. Patrick, I would say -- so Mark just went through some of the drivers of the changes, the operational changes that the team has put in place over the past couple of years, and I alluded to them in my prepared remarks. So when you think about top line, this Q1 really was helped by the surge in booking activity. But it remains healthy. And my point earlier to actually look to the second and third quarter performance of last year as the benchmark is a good place to start, and we're definitely seeing better pricing power as it relates to the packages that we are selling through the platform. So elevators pricing is expected to continue, and the margins that you would see in the second and third quarter of last year also reflects improving flow-through from that business. So 20% in the first quarter is solid, strong, partially driven by the surge. I would say a fair place to be is in, in the mid-teens margins that we shared in that supplemental package in Q2 and Q3 of 2021.
Operator: Our next question comes from Smedes Rose from Citi.
Smedes Rose : I guess I was curious, maybe you could talk a little bit about how you think about sort of the sustainability of the higher prices you're seeing in the all-inclusive business. I think there's sort of growing concern that these very strong on the excess savings, credit card debt is going up. So just is ALG may be changing the way they run the business to emphasize higher rates maybe at the expense of lower occupancy? Or how do you sort of think about that going forward?
Mark Hoplamazian: Sure. We -- it's going to be difficult for me to moderate my enthusiasm because the data is quite clear. The ADR -- the embedded ADR in our Q2 bookings for the ALG -- sorry, the AMResorts business is up 22% over 2019 levels. And if you look at the Americas, outside of ALG for Hyatt, our leisure-focused business is up 38% in rates for Q2 bookings. So we see not only no evidence that we're not seeing sustained levels, we're seeing stronger levels of price realization as we look forward. Now I understand. I'm the first person to remind ourselves and others, the trees do not grow the sky. And you can't model something compounding at a 38% growth rate. However, what I would say is with respect to an impending crash or a massive correction, I want to just remind everybody that -- of who our customer base is. So our customer base is as we keep reminding everyone, is the high-end traveler in each segment that we serve. And importantly, 30% of our total portfolio globally is in the luxury chain scale with rates and a customer base that are attendant to that. Second, sorry to speak to refer to a competitor's piece of research, was Morgan Stanley research put out this morning from the Director of Research for the Americas, a U.S. consumer spending survey, AlphaWise. And when you look across the different categories of spend, domestic travel for leisure or business related travel, international travel for leisure and leisure entertainment activities, our customer base, which are the top 2 categories are the ones that are showing continued strength. And when I say continued strength, the highest demographic income bracket is $150,000 or higher. We're talking about rates of the next 6 months spend expectations of plus 20% in domestic travel for leisure plus 25% work-related and high teens increase in international travel for leisure. Now this is a survey. And seamlessly, you have to see what people do, not what they say they're going to do. But so far, people have done what they -- what we thought that they would turn to, they're just doing it a little bit more vigorously than we had previously anticipated. So we don't see any evidence of a slowdown in either booking pace. In fact, booking pace itself is increasing really across all of our segments in business transient. Business transient is bookings in April are 27% higher than they were in 2019. I already described in my prepared remarks, the group bookings and how much higher they are, and the same is true in leisure as we just covered. Now on the group side, just quickly, I want to provide you a little context. You might be sitting back and saying, "I know group is strong, but you said that pace for the remainder of the year is down 12% versus 2019." When you look at the dollars involved, that gap of being down 12% for the remainder of the year is an $85 million gap, $85 million of revenues. April 1 was 42% above. The bookings were 42% above where they were in 2019. That's $12 million of incremental revenues booked in April versus 2019. I'll leave the math to you.  If we're clicking along at something that looks like a $10 million or $12 million increase over 2019 levels in bookings, and we have an $85 million gap to fill, you can understand why of the beliefs that we will exit this year at a run rate for group business higher than where we were in 2019. So pretty much across the board, really largely driven by where we're positioned, the high-end traveler, both in the leisure segment and the high-end travelers with respect to our corporate customers and the kinds of services that we offer. That's why we feel so strongly that we are well positioned, not to mention the positive operating leverage. People seem to have forgotten that operating leverage works in two directions. We have been roundly criticized and I think the negative sentiment around high owning assets has been clearly stated and articulated for so many quarters. But people seem to have forgotten that it works exactly in the same way, except in the other direction when you start seeing the kind of rates and flow-throughs that we've been able to generate with more efficient operations. So pretty much across the board, we feel like we are extremely well positioned for the market that we're in.
Operator: Our next question comes from Vince Ciepiel from Cleveland Research Company.
Vince Ciepiel : I just want to talk about the owned business a little bit, just in light of significant growth in leisure, progress with ADR, your comments on the recovery in group and business transient. And when you put all that together and think about how that might impact owned margins, I think historically, you kind of would see a build quarter-over-quarter into the second quarter. When you would lose a lot of that group business, that was kind of the old pre-COVID business. And I'm curious how you envision kind of the path for own margins in the new world that we're living in?
Joan Bottarini : Well, in the first quarter, we generated 70% of our EBITDA in the month of March. And in the month of March, we had a 150 basis point improvement over 2019 for the portfolio. So you really have to look at the portfolio and the mix because we have a distribution of properties and product types leisure properties, some of which are on our transaction list that we mentioned earlier, group and business-oriented properties, high-end luxury properties in urban centers, our Miraval properties that we own. So each of those in different quarters will take advantage of demand that is -- and frankly, our managers have been doing a great job of reconcepting the mix in each of the properties. So for -- we've reported on several earnings calls that some of our legacy group hotels have reinvented themselves as leisure hotels in the South market, and using the spacing in the hotel to welcome leisure guests compared to the group. So we're substituting and driving business in different ways because of the high quality of the assets and the customer demand profile over the last 2 years. So very strong results we've reported actually in excess of 2019 for the past 3 quarters, and a phenomenal result in March when we had Omicron behind us. And Mark, you were going to make a comment about Miraval...
Mark Hoplamazian : Yes. I mean included in our O&L results, I just want to remind you that Miraval, our Miraval properties are embedded in that O&L results. Miraval, not surprisingly, given the huge focus on wellbeing, especially mental wellbeing are seeing remarkable results and remarkable bookings. That business across those 3 properties that are now fully operational for the first year since we acquired Miraval because we've been in the midst of doing a lot of renovation work are on track, we believe, to earn something on the order of $40 million in EBITDA this year, a 30% margin to revenues. That's before management fees. After management fees, it would be about $35 million and 26% margin. So just remarkable financial results at total revenue per available room that is tracking in the -- let's see. Trying to remember. Give me 1 second. Over $1,000, it's like, yes, over $1,000 total revenue per available total available per occupied room is actually over $1,500. And really, the key thing that we demonstrated at this point is that we can replicate the model.  We have Austin, which is now demonstrating results that are in line with Tucson. Tucson has been in business for 40 years. And the big question that we had for ourselves was could you replicate this unique operating model and actually expand that way. And I think we've now answered that question, which is very important because we have new developments underway right now from Miraval through third party owners. So that small and mighty business is actually having an impact on our margins as we look forward as well.
Joan Bottarini : And we've disclosed that we expect on a stabilized basis that we will expand margins by 100 basis points to 300 basis points above pre-COVID levels. So we are -- we still have that expectation, given what we've seen our managers do and driving productivity gains and sell-through.
Operator: Last question will come from David Katz from Jefferies.
David Katz : I just wanted to ask about property sales and asset sales. It may not be the top of mind issue today, but has anything changed or evolved over the past few weeks in terms of your ability or engagement in terms of thinking about asset sales going forward?
Mark Hoplamazian : We -- as you might imagine, when you announced a $2 billion commitment, while we are proud of the $800 million plus that we're going to generate just in the first 4 months of this year. We are -- have already mapped out all of our alternatives, and we're thinking about how we're going to execute against it. The level for our properties has been very high. I pointed out that the owners of 3 of the properties that we're selling are putting $145 million of new capital in to reposition 1 asset and rebrand to a higher asset level and the others are significant renovations. So actually, 2 of them are doing repositioning to different brands. And so we're seeing a tremendous ability to find owners. They're all very, very strong, financially strong owners who believe in our brands and are prepared to put a lot of capital into our hotels. Same was true for Tahoe and for Lost Pines last year. So I guess what I would say, given the kind of properties we have and given the kinds of owners that we are dealing with, we have tremendous confidence that capital formation is not going to be an issue. There's lots of equity out there. The one thing that has changed, I mean all you have to do is take a look at the 10-year now solidly in the [3s] that's up 150 basis points since beginning of this year. Rates are higher, and you understand the math, which is you're paying more for your debt, therefore, your yields for your equity are coming down. Now I think that there are other ways in which sellers can assist in that and that might be providing some capital or providing some other participation. So if we need to and it makes sense for us to do so, we could do that. But right now, the demand that we see for the kinds of properties that we have, and the remaining inventory that we've got is tremendous. So we have multiple different options. The second thing I would say is in terms of total cash generation, we have a number of JV deals that are in process right now, selling our JV interest in a couple of hotels and actually have a couple of other deals that have already been signed. They're not -- we're not committed yet because there are a lot of conditions to the commitment. But the Grand Hyatt New York and the Andaz in London are both under contract at this point, subject to massive redevelopments, entitlements processes that are underway in both of those cities. So in some ways, we've already effectively locked in value for some of our other properties. So I think it's going to be a tighter market just by virtue of debt yields, which will impact financing costs to exist. But for us, I don't think it's going to have a pronounced impact on our ability to execute.
David Katz : Understood. And if I can ask one just detailed question. I apologize if you discussed this already, but there was a $31 million loss from interest income and marketable securities. Did you discuss where that came from and what that's about?
Mark Hoplamazian: No. But -- well -- it's either held for World of Hyatt or possibly for the [roundout term]. Yes. We -- I don't know the answer. So I'm not going to speculate. Securities, values in general have come down, obviously, the market is down. And so -- and if you've been holding anything that looks like a fixed income instrument, your price is down, yields are up. So -- that's my macro response. But beyond that, I'm not going to comment. I'm not sure. We can follow up on that. And probably, it's also very possible that, that is not a realized loss.
Operator: We have no further questions. I'd like to turn the call back over to Noah Hoppe for any closing remarks.
Noah Hoppe: Thank you, everyone, for joining us today. Take care, and we look forward to speaking with you again soon. 
Operator: This concludes today's conference call. Thank you for participating, and have a wonderful day. You may all disconnect.